Operator: Good day, ladies and gentlemen, and welcome to the Gartner's Second Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to David Cohen, GVP of Investor Relations. Sir, you may begin.
David Cohen - Gartner, Inc.: Thank you, Shannon, and good morning, everyone. We appreciate you joining us today for Gartner's second quarter 2018 earnings call. With me today are Gene Hall, Chief Executive Officer; and Craig Safian, Chief Financial Officer. This call will include a discussion of second quarter 2018 financial results and our current outlook for 2018 as disclosed in today's press release. Following comments by Gene and Craig, we will open up the call for your questions. In addition to today's press release, we have provided a supplemental deck as a reference for investors and analyst. We have posted the press release and the deck to our website, investor.gartner.com. On the call, unless stated otherwise, all references to revenue and contribution margin are for adjusted revenue, excluding divested operations and adjusted contribution margin excluding divested operations, which exclude the deferred revenue purchase accounting adjustment and the recently divested businesses. All references to EBITDA are for adjusted EBITDA, excluding divested operations with the adjustments as described in our earnings release and excluding the recently divested businesses. Reconciliations for all non-GAAP numbers we used are available in the Investor Relation section of the gartner.com website. Finally, all contract values and associated growth rates, we discuss are based on 2018 foreign exchange rates. In the earnings deck, the abbreviation Ex D. O. indicates that the metric excludes divested operations. As set forth in more detail in today's earnings release, certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2017 Annual Report on Form 10-K, and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I encourage all of you to review the risk factors listed in these documents. Now, I will turn the call over to Gartner's Chief Executive Officer, Gene Hall.
Eugene A. Hall - Gartner, Inc.: Well, thanks for joining us today. At our Investor Day earlier this year, we laid out a plan to continue driving-double digit profitable growth to Gartner's traditional business while applying the Gartner formula to accelerate the former CEB business. Today, you'll hear how we continue to be on track on both objectives. We delivered another great quarter of double-digit growth in Q2 of 2018. Our revenue grew 14% and EBITDA 11%. EPS grew 17% compared to last year. We generated more than $210 million of free cash flow year-to-date. Research is our largest and most profitable segment. Once again, our Research segment had strong performance, with revenue growth of 14% and contract value growth of 12%. As we previously discussed, we now manage the Research sales force by Global Technology Sales or GTS, which is sales to users and providers of technology, and Global Business Sales or GBS, which includes sales to all other functions. GTS had another strong quarter. GTS contract value accelerated from Q1 and grew 14%, with a double-digit growth in every region, every size clients, and in virtually every industry. GTS client retention was 82% and wallet retention 105%, both near all-time highs. Our GTS sales head count grew 9% year-over-year, and we expect this to accelerate in Q3. This provides the foundation for sustained double-digit growth. Even as we've expanded the GTS team, productivity has improved, up 10% in Q2 to $111,000 per salesperson. As we've discussed, we have enormous growth opportunity by applying the Gartner formula to GBS. We developed an aggressive blueprint to capture this opportunity and accelerate GBS to a sustained double-digit growth. We are executing well in meeting or exceeding our expectations on implementing this blueprint. In the quarter, after we closed the CEB acquisition, we eliminated discounting and aligned terms and conditions with Gartner standards. We immediately began developing a new set of seat-based products, including Gartner for HR Leaders, Gartner for Finance Leaders and others. In Q4 2017, we pilot tested these new products with great feedback from clients and sales people. We pilot tested service elements from the Gartner formula. Retention of these pilot clients were several percentage points higher than comparable clients without these service improvements. During that time, we also expanded our sales recruiting organization and began accelerated hiring. In the first quarter of 2018, we trained GBS sales people on these great new products. Our sales hiring continued. And by the end of Q2, our GBS sales force had grown by 24%. All of the new products include the service elements of the Gartner formula and we're rolling out service elements with the remaining legacy products. All of these changes are proceeding as or better than planned. As I mentioned, our priority is positioning GBS for sustained double-digit growth as soon as practical. As expected, these changes had some short-term impact with GBS contract value growth of 4% in Q2. There were two primary things that impacted GBS contract value growth in Q2. First, to grow the GBS sales force 24%, we needed a sizable number of additional managers. As is our usual practice, the promoted managers were selected from our highest performing sales people. The new manager's former positions were then backfilled with new hires. New sales hires particularly in their first few months on average have low sales productivity. As new sales people get experienced, their productivity rapidly accelerates. Second, GBS sales people are very early in the learning curve, transitioning from the legacy products to the new seat-based products. As I just discussed, GBS sales people were trained on the new products in Q1. So most had their first opportunity to make a sale during Q2 and selling cycles are often longer than a single quarter. We note that the pilot testing last year and our past experience with similar transitions that they'll come up the learning curve quickly. Even with the GBS sales force having a much lower average tenure and being early on the learning curve selling seat-based products, leading indicators are strong. Total sales to new clients increased by more than 20% during Q2 compared to Q1. And our seat-based products represented more than half of these sales. Sales of our seat-based products to existing clients grew about 80% in Q2 compared to Q1, and were about one-third of total sales to existing clients. We developed a blueprint to implement the Gartner formula in GBS. And with the changes we've already made, we're well positioned for future sustained, double-digit growth. Our new seat-based products provide much greater value to clients, which will drive both accelerated new business and stronger retention. Our sales force expansion will allow us to enter 2019 with sales force that is about 24% larger than we had in 2017. This expanded sales force will be more tenured, trained and experienced in selling these great new products. All the new products as well as a significant amount of the legacy products will have service support for the Gartner formula, which will drive improved retention. With our aggressive implementation of the Gartner formula, we continue to expect double-digit growth in GBS contract value next year, and at least 12% growth in 2020. Our Events segment combines the outstanding value of Research with the immersive experience of live events, making every conference we produce the most important gathering for the executives we serve. Our Events segment had another strong quarter. Revenues grew 17%. During the quarter, we held 24 destination events, with attendance growing 13% compared to Q2 last year. On a same-event basis, attendance grew 16% year-over-year. Revenue for Evanta continues to see double-digit growth and the forward-looking metrics for our Events segment remained strong. The Gartner Consulting segment is an extension of Gartner Research and provides clients a deeper level of involvement through extended project-based work to help them execute on their most strategic initiatives. Our Consulting segment had a solid quarter with Q2 Consulting revenues growing 5%. Our labor-based business had a strong performance, growing 13%. Our contract optimization business had the second highest quarter for their business in the past five years, although down 17% year-over-year because we had our strongest quarter a year ago. Q2 Consulting bookings remained strong with backlog up 16%. In summary, I continue to be excited about our business, our prospects for growth and our strategy to drive long-term value for our shareholders. Our strong Q2 results demonstrate we know the right things to do to drive success in our business by applying the Gartner formula. With the capability to address critical client needs in technology and in business across every major function in the enterprise, we remain in an outstanding position to provide sustained double-digit growth across all our key metrics. And with that introduction, I'll now turn over the call to Craig Safian, our Chief Financial Officer.
Craig W. Safian - Gartner, Inc.: Thank you, Gene, and good morning, everyone. We continue to see robust demand for our services across the globe. During the second quarter, we saw a year-over-year acceleration in our contract value and very good financial results across our three primary operating segments. And as our 2018 outlook continues to demonstrate, we expect to deliver another year of double-digit revenue and EBITDA growth with strong cash flow generation. Second quarter revenue was $1 billion, up 14% and up 12% on an FX-neutral basis. The purchase accounting adjustment for deferred revenue was down to $1 million for the quarter. Also in the second quarter, we delivered contribution margins of 63%, up modestly from the prior year, EBITDA of $191 million, up 11% year-over-year, and adjusted EPS of $1.03 per share, up 17% versus the prior year. Free cash flow in the quarter was $183 million. Research had another excellent quarter, with significant year-over-year growth in revenue and improvements in contribution margin. Research revenue grew 14% in the second quarter and 12% on an FX-neutral basis. The contribution margin for Research was 69%. Total contract value was $2.9 billion at June 30, growth of 12% versus the prior year. We always report contract value growth in FX-neutral terms. New business growth was very strong in Global Technology Sales. We continue to see a healthy mix of new business across new clients, sales of additional services, and upgrades to existing clients. The average contract value for enterprise also continues to grow. It now stands at $195,000 per enterprise, up 6% versus the prior year. This continued and consistent increase in average spend, reflects our ability to drive CV growth both through new and existing enterprises. I'll now review the details of our performance for both GTS and GBS. In the second quarter, GTS contract value growth accelerated to 14%. GTS now has contract value of $2.3 billion. Client retention for GTS remained strong at 82%. Wallet retention for GTS was 105% for the quarter, up almost 80 basis points year-over-year and at an all-time high. These retention rates reflect a combination of greater spending and greater retention rates with our higher spending and larger clients. GTS growth in new business was 16% in the second quarter, an acceleration from the first quarter as our sales team continues to execute very well. We ended the second quarter with 12,375 GTS clients, up 6% compared to Q2 2017. Our investments to improve sales force productivity continued to pay off with an increase again this quarter. For GTS, the year-over-year net contract value increase, or NCVI, divided by the beginning period quota-bearing head count was $111,000 per salesperson, up 10% versus the second quarter of last year. Turning to Global Business Sales. As of June 30, GBS had contract value of $611 million, representing year-over-year growth of 4%. Since the third quarter of last year, we have made a number of changes and operational improvements to follow the Gartner growth formula that we detailed at Investor Day. All these changes and improvements position us for sustained, long-term, double-digit growth. We continue to make good progress with GBS retention metrics. And for deals up for renewal in the quarter, we saw significant improvement both year-over-year and sequentially. GBS client retention was 83%, up more than 370 basis points from the prior year. GBS wallet retention was 97%, up 10 basis points versus the prior year and down sequentially. The sequential decline in wallet retention was due to lower new business sales to existing clients. New business declined by 19% in the quarter versus the prior year, primarily due to declines in legacy product sales. As Gene detailed, we are seeing a number of positive trends within our new business results. First, new business to new clients was up more than 20% sequentially, driven by significant growth in seat-based products. The seat-based products made up greater than 50% of new business sales to new clients in the second quarter. Second, while new business to existing clients was down 40% sequentially from Q1, seat-based new business to existing clients was up 80% sequentially. Though that growth wasn't fast enough to compensate for the decline of new business of the legacy products, the uptake of the new seat-based products are trending in the right direction. These seat-based product results are particularly encouraging given the context that Gene described around the GBS sales forces' lower tenure and coming up the learning curve on selling seat-based products. We ended the second quarter with 5,659 GBS enterprise clients, up 1% versus the prior-year period. For GBS, the year-over-year net contract value increase, or NCVI, divided by the beginning period quota-bearing head count was $37,000, down 23% versus second quarter last year. The decline in productivity reflects the operational shifts we have the sales team making to the new Gartner seat-based products. The operational changes we've made are all part of the Gartner formula for growth. And our data and analytics show that as our sellers gain more experience with the new products, their productivity improves. Our Research business performance in Q2 was strong. GTS was outstanding with increases in wallet retention and sales productivity and an acceleration in contract value growth. For GBS, the early indications reinforced our outlook for double-digit contract value growth next year and 12-plus-percent growth in 2020. In Events, revenues increased by 17% year-on-year in Q2 to $111 million. FX-neutral growth was 16%. Events second quarter gross contribution margin was 57%, stable with last year's quarter. The second quarter is typically our second largest quarter of the year after the fourth quarter. We had two fewer destination events than last year. On a same-event, FX-neutral basis, revenues were up 15%, with a 16% increase in same-event attendees. Q2 was strong for our Events business and the forward-looking metrics also remain robust. Second quarter Consulting revenues increased by 5% to $96 million. FX-neutral growth was about 2%. Labor-based revenues were $77 million. In the labor-based business, revenues increased 13% versus Q2 of last year or 9% on a FX-neutral basis. On the labor-based side, billable head count of 710 was up 7% and we had 135 managing partners at the end of Q2, up about 5% versus the prior year. Backlog, which measures labor-based projects under contract where there is more work to be done, is the key leading indicator of future revenue growth for our Consulting business. Backlog ended the quarter at $106 million, up 16% year-over-year and 11% in FX-neutral terms. Our booking performance remains strong and our 2018 pipeline is encouraging. The contract optimization business was down 17% versus the prior year quarter due to a very tough compare. Overall, Consulting gross contribution margin was 35% in the second quarter. Revenue in the Other segment increased by 29% compared to the year-ago quarter to $22 million. Gross contribution margin was 68%. Early in the second quarter, we divested CEB Talent Assessment for about $400 million and CEB Workforce Surveys for $28 million. On a GAAP basis, SG&A increased by 13% year-over-year in the second quarter and 11% on an FX-neutral basis. Adjusting for the divestitures and other nonrecurring items, SG&A increased 14% year-over-year on an FX-neutral basis. We continue to grow sales capacity and the enabling infrastructure to support our strategy of delivering sustained double-digit growth over the long-term. The enabling infrastructure includes investments in human resources functions like recruiting and real estate to support the increased number of associates around the world. Our sales force continues to be our largest investment. And at the end of the second quarter, we had 3,595 quota-bearing associates across Gartner in GTS and GBS. This includes 2,801 in GTS and 794 in GBS or a growth of 9% and 24%, respectively. The GTS growth will increase in the second half as we still expect mid-teens growth for GTS head count for 2018. EBITDA for the second quarter was $191 million, up 11% with strong revenue growth, partially offset by higher SG&A costs as expected. Depreciation, amortization and integration expenses were down year-over-year as we get past the one year anniversary of the CEB acquisition, and as a result of the recent divestitures. Interest expense in the quarter was $38 million, down from $44 million in the second quarter of 2017. The lower interest expense relates to paying down debt over the past year. Our tax rate, which we use for the calculation of adjusted net income, was 27.9% for the quarter. As we'll discuss in the outlook section, we still expect our adjusted tax rate to be about 26% for the full year. Adjusted EPS in Q2 was $1.03 with upside relative to our expectations, primarily from a few items below the EBITDA line. In Q2, operating cash flow was $174 million compared to $112 million last year. The increase in operating cash flow was driven by strong operating results, lower interest expense and improvements and catch up in working capital. Q2 2018 CapEx was $22 million, and Q2 cash acquisition and integration payments and other non-recurring items were approximately $31 million. This yields Q2 free cash flow of $183 million, which is up over 40% versus the prior-year quarter. In the second quarter, we resumed our share repurchase program, buying about 500,000 shares for $68 million. We have over $1 billion remaining on our repurchase authorization. During the second quarter of 2018, we repaid $554 million worth of debt, leaving our June 30th debt balance at about $2.5 billion. That's down more than $1.1 billion since the acquisition a little more than a year ago. Adjusting EBITDA for the divestitures, our gross leverage ratio is now about 3.6 times EBITDA and we are tracking to our target of about 3 times, which we continue to expect to see by the end of 2018. Turning to the outlook for 2018. Revenue, adjusted EBITDA, free cash flow and adjusted EPS guidance remain the same. The only updates we are making are to our GAAP EPS guidance range to reflect the modest changes arising from the divestitures, use of divestiture proceeds and some updates to other expenses. With the strengthening of the U.S. dollar that we saw over the course of the second quarter, we do expect to see our top-line reported results impacted modestly in the second half of the year by foreign exchange. As you update your models for Q3 and Q4, please keep in mind that our original estimates for reported revenues, reported expenses and reported EBITDA will be impacted by about 1% due to the stronger U.S. dollar. The highlights of our annual guidance are as follows. For 2018, we continue to expect adjusted revenues of approximately $3.9 billion to $4 billion. We expect adjusted EBITDA of $710 million to $760 million. Amortization will take a noticeable step down from about $49 million in Q3 to about $35 million in Q4. We continue to expect an adjusted tax rate of around 26% for the full year. Please note that if you are adding back from GAAP net income, the rate for the tax effect on the add back from the second half of the year is about 23%. We expect full year 2018 adjusted EPS of between $3.51 per share and $3.91 per share. We expect free cash flow of $416 million to $456 million. At the midpoint, the conversion from adjusted net income is 126%. And lastly for the third quarter of 2018, we expect adjusted EPS of between $0.58 and $0.62 per share. All the details of our guidance are included in the press release and our quarterly earnings deck, both of which are available on our Investor Relations site. We've had a great start to the year, with strength across all of our operating segments and improvements in most of our key operating measures. Notably, GTS contract value growth accelerated to 14% in the second quarter and sales of our new seat-based products in GBS continue to scale. Free cash flow also improved significantly in the quarter. We've also divested a number of non-core assets and used those proceeds to rapidly delever. We've reduced our debt balance by more than $800 million in 2018. The trends going into the third quarter are strong and our teams are working hard to execute the 2018 plan. As we shared with you at Investor Day, we are applying the Gartner growth formula across the combined business to drive sustained, long-term, double-digit growth to revenues, EBITDA and free cash flow. With that, I'll turn the call back over to the operator, and we'll be happy to take your questions. Operator?
Operator: Thank you. Our first question comes from Tim McHugh with William Blair. Your line is open.
Timothy McHugh - William Blair & Co. LLC: Hi. Thanks. Just want to ask I guess a little more color on the GBS side. I know you gave some explanation, but just I guess, what caused those headwinds to get bigger in Q2 versus Q1 especially I guess as it relates to promotions and so forth? Any more color there would be helpful. Thanks.
Eugene A. Hall - Gartner, Inc.: Hey, Tim. It's Gene. So, as I mentioned earlier, there were two things that really hit in Q2. So, first, we hired a bunch of sales people beginning in Q4. Those people actually came on board and went through training in Q1 and then we identified – when they came on board, we had to have some managers for them. We generally promote our managers from our highest performing sales people, which we did. And so what you'd imagine is if you take your highest performing sales people and then promote them managers, so they're not selling any more. They are managers. Replace them with somebody that just got through training. Someone just through training doesn't sell nearly as much as somebody who has been one of our highest performers. And it can be – it's a big delta. And so, if you look at comparisons, again, you take your highest performers, you replace with brand new people. That's one factor. The second factor is that, as we mentioned, we had developed these new seat-based products, we piloted them in Q4 last year. They did very well. We rolled them out in Q1 and Q2. In Q1, our sales force – the GBS sales force was getting trained. So they were still mostly some of the legacy products because they were getting trained on the new products. In Q2, they could actually start selling the new products. Again a few of them made sales in Q1 right after training, most didn't until Q2. And so, as they made the transition obviously with the new product at seat-based as opposed to enterprise agreements and a different kind of product, there's a learning curve for it. And so, those were the two primary factors that impact us. So, first, we promoted some of our highest performers to be managers and replaced them with brand new people. And secondly, we made the transition from mostly legacy product sales to actually now the seat-based sales and there's a bit of a learning curve there. As Craig and I both highlighted, the initial results on selling the new seat-based products are very strong and we're very happy about that.
Timothy McHugh - William Blair & Co. LLC: Okay. Thanks. And then just on the Q3 guidance, I guess on profit margins, I'm not sure if the exact margin implied about the Q3 guide, but I think given year-to-date results plus that EPS guidance, I guess unless margins are up a lot in Q4, is the indication the lower end of the margin guide is more likely at this point, any color on that? Thanks.
Craig W. Safian - Gartner, Inc.: Yeah. Good morning, Tim. Thanks for the question. I think the way to think about it is as we talked about I think last year post the acquisition, there's a little more seasonality in our revenue, particularly driven by Events and Consulting, since the acquisition with Q2 and Q4 now, by far, being our largest revenue and profit quarters, and Q4 by a long way. And so when we have a relatively fixed SG&A base across each of the four quarters, when the revenue spikes, as it does in Q2 and Q4, the margins look better than the average. And when the revenue is lower a little bit in the smaller quarters for us, Q1 and Q3, the margins are down. And so I think the way we're thinking about it is we're still, if you look at the midpoint of our annual guidance, it still calls for stable margins for the full-year and that's essentially the way we are thinking about it.
Timothy McHugh - William Blair & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from Jeff Meuler with Baird. Your line is open.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Yes. So I think I'm a little confused on the GBS selling activity. So the sales people are used to selling enterprise-wide and it sounds like that's what's taken a hit, and they're doing well with the new seat-based sales. But I guess what's the message or the incentive structure to the sales force, like, are you – I think you're allowing them to still sell both either seat-based or enterprise-wide, but how are you incenting it or how are you messaging it, like, are you still allowing them to sell it, but you're paying more incentive for seat-based? Just trying to understand why something they're more comfortable with is where we're seeing the bigger hit.
Eugene A. Hall - Gartner, Inc.: So Jeff, it's Gene. So during Q1 and Q2, we allowed our sales force to sell both the legacy product and the new seat-based product. The reason we did that is they were only trained on the new seat-based products in Q1 and so they had to have something to sell in the meantime. And then we let them keep selling the legacy product in Q2 because they had pipelines where they'd already introduced the product – the legacy products to clients. In the middle of a selling cycle, we didn't want to have them change. So, we, for those reasons, allowed them to sell both products during Q1 and Q2. As I mentioned, Q1 was mostly the legacy products, because they hadn't yet been trained on the new products in general. And Q2, we saw a steep ramp up to material shares that we talked about of our new business in Q2. The incentives are exactly the same. Meaning, that if you sell the legacy product or you sell the new seat-based product, the commission structure and the incentive structure is exactly the same, there's no difference. So, salesperson on an economic basis is indifferent which one they sell. If you're a salesperson, it's a lot better to sell the new seat-based products because we believe they're going to have better retention because they provide better value to clients, and they provide better growth opportunities for the future. So, even though they're incented to saying, our sales people understand why the new products provide more value to our clients. And once they got trained on it that would be the preference for selling. Beginning July 1, for where we have – the majority of our sales people, they'll be selling just the seat-based products.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Okay. So, was it basically that sometime during the first half of the year, as your sales force was developing pipeline, they were developing it with the intention of seat-based sales and that was the conversation, so the pipeline started to dry up previously for enterprise-wide sales and that's why it's taking the hit. Is that the fair characterization?
Eugene A. Hall - Gartner, Inc.: That's a piece of it. I think a bigger piece is, when you're selling enterprise agreement, the value proposition to the client is more along the lines of, if you buy this, everyone in the organization can use this. That's a different value proposition than I'm selling this to you individually for your personal use. And by the way, the personal use product has many more features and content than the enterprise-wide product. So, it's a different sale. And so there's a combination of once you start talking to a client about here's what I want to sell you, you have a pipeline for that product, if you then change from – you don't want to change that same client from enterprise to seat. So they started – at the beginning of the year, they hadn't been trained on seat, so they had a pipeline that was mostly for the legacy products. Once they got trained, then they started developing pipelines for the new products. And so there's the pipeline change, in addition as I mentioned, there's a learning curve. What we've seen from experience is the first sale is the one that is the most important, because once our sales people make their first sale, they develop confidence about how to talk about it with clients. And then the second sale is easier and the third sale is even easier than that. And what we saw in Q2 is a very large portion of our sales force making their first sale of a seat-based product, GBS.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Got it. Thank you.
Operator: Thank you. Our next question comes from Manav Patnaik with Barclays. Your line is open.
Manav Patnaik - Barclays Capital, Inc.: Yeah. Thank you. Good morning, guys. So maybe just to ask a different way, I guess these changes you're making, seat-based hiring, they're all sort of what you planned. But was this deceleration in 2Q like pretty much in line with what you were expecting or did it go a little worse than maybe what you had planned? I know you reiterated the full-year guidance, so will there be like a catch-up towards the end of the year in your expectation?
Eugene A. Hall - Gartner, Inc.: So we made the changes that we expected to make, and the impact had the impact we expected. I'd sort of leave it at that. In terms of – I don't know how to think about catch-up, but it's kind of like we're on plan with what we expected. We wanted to make these changes. We had an aggressive plan. We made them exactly as we expected. They're going as well or better than we expected in terms of making these changes. In fact, I had a – one of the things that really made me feel good about these things is we had a meeting with our senior leaders in July, where I got together with the senior GBS leaders from around the world, senior sales leaders. And their level of enthusiasm about the new products and how much value they add to clients and their future was extremely high. And it's great, when you have your senior sales leaders are all very excited about this transition of new products, it makes you feel very confident we're on the right track.
Manav Patnaik - Barclays Capital, Inc.: Got it. And then maybe, Craig, just for you. I mean small repurchase this quarter. When do you think we get back to sort of the level of activity you guys used to do before the deal?
Craig W. Safian - Gartner, Inc.: Yeah. Good morning, Manav. Thanks. The way that we think about deployment of capital is as we get down to our overall leverage target, which as we've talked about is about 3 times EBITDA on a gross leverage basis we're going to deploy our capital in two ways. Number one, looking at strategic value enhancing M&A that either fills in gaps or can accrete our top line and bottom line or things like that and returning capital to shareholders through share repurchasing. As I mentioned in my prepared remarks, we have over $1 billion of authorization remaining. And the way we think about it is, we will deploy our capital very similar to the way we did prior to the acquisition as we reduce our leverage and get down to our target levels.
Manav Patnaik - Barclays Capital, Inc.: Got it. Thanks guys.
Operator: Thank you. Our next question comes from George Tong with Goldman Sachs. Your line is open.
George Tong - Goldman Sachs & Co. LLC: Hi. Thanks. Good morning. You've indicated that overall GBS sales force productivity was impacted by the promotion of your highest performing sales people to managers and then these people were backfilled with new sales. Can you comment on trends in sales force productivity among your non-promoted sales people and how their productivity tracked versus last quarter and your own internal expectations?
Eugene A. Hall - Gartner, Inc.: So, I think one of the best ways to look at it is we had a pilot of the new seat-based products last year, as I mentioned. And if you look at the productivity of those people who now – we introduced it to them in the fourth quarter, they started selling the seat-based products. If you look at their productivity in the second quarter, it is whole numbers are better than the new people would be. And so, it gives us confidence in the fact, as people get experience with this, they come up the curve very quickly.
Craig W. Safian - Gartner, Inc.: The other thing, George, that I – just to add to that, when we look at our sales to new clients, sequentially, we saw a really nice increase in the new business, the absolute dollars from Q1 to Q2 of that group of sellers, and the mix shifted pretty significantly too with a majority of the Q2 new business to new clients being in our – sorry to use new again, new seat-based product. So, you asked a really good question around the underlying trends. The underlying trends are very positive, and everything we see analytically both from experience and what we're seeing now with the current GBS sales force is as they get more time or more tenure, their productivity does improve.
George Tong - Goldman Sachs & Co. LLC: Got it. That's very helpful context. You're, obviously, in the process now of transitioning from enterprise to seat-based licensing. Can you talk about, generally, what the client take rate is on these new contract terms? What proportion of contracts or clients that you're going out to are converting under these new terms?
Eugene A. Hall - Gartner, Inc.: So, as I mentioned earlier, sales people that are already been talking to a client about enterprise agreements, they can continue those and close those as we switch and again we're ending that as of July 1. As Craig mentioned earlier, and when we have a new client situation between Q1 and Q2, our sales to new clients were up 20% – more than 20% year-over-year as I mentioned in my remarks. And in Q2, the proportion of new seat-based sales was more than half of those sales. So, again, the total actual dollars were up more than 20% year-over-year. And in Q2 for new clients, the mix was more than half of the new seat-based products. In fact – and the reason that we're ending legacy products is just they were already in the pipeline, we'd already been discussing with clients. So the uptake is very positive.
George Tong - Goldman Sachs & Co. LLC: Got it. I guess the question is more qualitative. Are clients receptive to this new kind of seat-based structure in your conversations?
Eugene A. Hall - Gartner, Inc.: Yes. And again, great question. So clients love the new seat-based products and the reason is that they provide a lot more value. And the actual product itself, again, as you'll recall, we took Research from Heritage Gartner on the technology side. So, for example, HR on HR information systems and analytics in HR added that to what CEB had already had and then we actually changed the structure of the product even within the CEB piece. So if you look at actually the seat-based product, that's a much higher value product than the legacy product we had before. And so, when we talked – the reason the uptake has been very positive to new clients is, when new clients see this and then when you sell it to the individual for their personal use, they really understand the value, then the reception has been very, very positive which is why you've seen the statistics I mentioned earlier, where total new business is actually up 20% year-over-year in GBS for new clients.
George Tong - Goldman Sachs & Co. LLC: Got it. Very helpful. Thank you.
Operator: Thank you. Our next question comes from Toni Kaplan with Morgan Stanley. Your line is open.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning. Gene, you mentioned the July 1st date a couple of times in the last question and earlier. But just so I'm clear, that's when the sales people are not able to sell the enterprise licenses anymore? Is that how to think about that July 1 change?
Eugene A. Hall - Gartner, Inc.: So, for our larger products, HR, finance, legal, sales, marketing, et cetera, we gave until July 1 for our sales people to close out any deals they had in the pipeline with the legacy products. There is still some very small legacy products, but it's a small portion. So it's not literally zero but a small portion of our product is still legacy. Over time, those will be converted. The vast majority and all the big important ones will be on the seat-based products starting July 1. That's the only thing we'll sell starting July 1.
Craig W. Safian - Gartner, Inc.: From a new business perspective.
Eugene A. Hall - Gartner, Inc.: From a new business perspective. Yeah. Again, people can renew – our global clients renew their legacy products as long as they want to renew them.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. And the fact that the new seat-based product sales are going so well, it shouldn't have – you're not expecting a very negative impact on Q3 from like basically this changeover day?
Eugene A. Hall - Gartner, Inc.: So, again, we feel like we're in a very good trajectory, where the sales force understands that they're getting more experienced and for new sales to new clients, we actually had great results. And so, we're feeling very good about it.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. Great. And just my follow-up is, were there any particular functional areas within GBS that were particularly strong this quarter or any that were particularly slower, that be helpful.
Eugene A. Hall - Gartner, Inc.: I'd say everything was in trend. I can't think there were any differences. If you look at the differences between the seat-based and the legacy products or even the trend overall, it's kind of in trend with where it's been.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. So, nothing to call out on like marketing versus supply chain versus...?
Eugene A. Hall - Gartner, Inc.: No. I think, again, everything I would say is in trend with where it's been historically.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Thank you very much.
Operator: Thank you. Our next question comes from Jeff Silber with BMO Capital Markets. Your line is open.
Jeffrey Marc Silber - BMO Capital Markets (United States): Sorry to go back to this GBS sales issue, just one minor question. If I look at the GBS sales force today, roughly what percentage of those folks are new versus those that came from CEB?
Eugene A. Hall - Gartner, Inc.: So, I don't have those numbers right in front of me, but the way to think about it is, we grew it 24% year-over-year, so you know 24% are new, plus we promoted a number of people into managers (44:00), so their replacements are new. And plus we had sales force turnover which is in the range of what our Gartner sales force turnover has been historically. So, I don't have the numbers in front of me, but if you think about that we had growth plus we had replacement as we promoted people, plus we had normal turnover, and so it's a big proportion of people to new. And, by the way, we're used to this. This is how Gartner's worked for a decade. And so, we know how to run that kind of an organization and things are going, as I said, as we would expect.
Jeffrey Marc Silber - BMO Capital Markets (United States): Yeah. I guess where I was going with the question is if I look over time, when do you think the GBS sales force will be comprised of mostly new folks as opposed to CEB legacy sales?
Eugene A. Hall - Gartner, Inc.: So, let me give you an illustrative example because, again, I don't have the exact numbers right in front of me. But if you have a business that you want to grow the sales head count 15% net and you have 15% turnover and 15% promotions, so if I start with 100 people and lose 15% for turnover, I promote 15% and I want to grow 15%, I have to hire 45 people to grow 100 people to 115 people. 45 divided by 115 is 39% – is 40%. So under the theoretical assumption I just gave you, 15% growth in net head count, 15% turnover, 15% promotions, 40% of people are the first year all the time. Again, this is how we run Gartner forever, but that gives you sort of a flavor for it.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. I appreciate that. And where are you finding these new GBS sales people?
Eugene A. Hall - Gartner, Inc.: So, we have a world-class recruiting organization. And, in fact, I think about our recruiting organization as being a real source of competitive advantage for us. We focused on building it for a number of years. And as you know, the labor markets are quite tight. Despite the fact that labor markets are tight, as you've heard, we're growing our total sales force significantly in both GTS and GBS. And all of our metrics in terms of the quality of the people are stronger and stronger as in the past. We find our sales people from all over. As you know, we operate – we have clients in 100 countries, we operate in many of those directly, and so we hire people all around the world. So, it's not kind of one source, because we're operating in all these different markets, we sell large clients, medium clients, small clients. Those are different sources. So there's kind of like, not one source, it depends on what geography it is and what size clients that we're serving, et cetera.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. Thanks for the color.
Operator: Thank you. Our next question comes from Hamzah Mazari with Macquarie. Your line is open.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Hey guys. This is Mario Cortellacci filling in for Hamzah. Does GBS wallet retention have any structural changes that would keep it from getting to where GTS is running currently?
Craig W. Safian - Gartner, Inc.: No, I think we believe that the wallet retention in GBS, there's no reason why it can't be the same over time as what we see in GTS. And in fact, two primary things we believe will unlock that. Number one is you're driving the normal Gartner growth formula around engagement and service and all those things have been translating into higher retention rates, and there's still room to improve there. And the second thing is, and this is one of the other benefits of transitioning to seat-based products, is with an enterprise license, once you penetrated the organization, there's really no more growth to go. Gartner historically has derived about two-thirds of its gross growth from further penetration of existing enterprises. And with the new seat-based products, we'll now be able to run that play on the GBS side as well. So, that was a longwinded answer to your question which I could have just said, no, there is no reason why GBS wallet retention can't get to the same levels as GTS wallet retention.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Got you. Perfect. And just a quick follow up. Given the divestitures in some of the noncore assets, could you walk us through how you think about further portfolio pruning if there maybe is any and how robust does your future pipeline look in terms of M&A? And if that is the case, do you see yourself adding any (48:27) to the portfolio?
Craig W. Safian - Gartner, Inc.: Yeah. Sure. From a divestiture perspective, the biggest one for us was the Talent Assessment business which was by far the biggest business within Heritage CEB that we deemed as noncore. We worked very quickly to do the analysis to figure out that it was noncore and then to market and divest that asset. And so getting that completed in early April was kind of mission number one for us. We continue to look at the portfolio to make sure that everything we have is core and really supports the growth of our Research business, which is what all of our other businesses are there to do and we'll continue to look at that. From an M&A perspective, we continue to track a hundred-plus different companies across all the areas that we now participate in. So not just in IT research, but HR research, finance research, legal research, et cetera. We continue to track those. We have a corp dev team that is all over that. But again, the way we think about M&A going forward is similar to the way we thought about it previously, which was we're going to be really diligent, really disciplined around how we deploy our capital. If there are assets that can fill in gaps for us or accelerate our growth rate and drive real shareholder value, we'll deploy our capital that way. Absent that, we'll look to deploy our capital as we talked about earlier on share repurchases.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Perfect. Thank you.
Operator: Thank you. Our next question comes from Joseph Foresi with Cantor Fitzgerald. Your line is open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. I was wondering if we could get, as best you can, a breakdown of what the growth drivers are. And what I mean by that is how much of your growth is coming from new market penetration versus new products versus industry tailwinds?
Craig W. Safian - Gartner, Inc.: Hey, Joe. Good morning. Because our portfolio is so diverse now and because technology is ubiquitous regardless of geography, industry, or company size and you can make the same comment for all the other functions we serve like HR and finance and legal. We tend to look at the market as obviously as we've talked about, huge and untapped. And we have a huge opportunity both from a further client penetration perspective and from working with enterprises that currently don't do business with us. And we have ample opportunity on both sides of that equation. And as I just mentioned, historically, on the Heritage Gartner side, about two-thirds of our growth has come from existing enterprises through a combination of pricing, upgrades of products to higher value, higher priced products, finding new seats within existing buying centers, and finding new buying centers within the existing enterprise. We think that same algorithm or formula applies across GBS as well. And again, it's a combination of new products, of going after the C-level in the organization and then expanding the account below that, all those plays that have worked really well for us, on the Heritage Gartner or GTS side, we think we have available for us on the GBS side as well.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And just as my follow-up, I think we're trying to figure out how much of GBS is sales force versus product. Maybe you could give us some stats. I'm sure CEB is integrated into the whole business now. But any stats you could share with us around CEB, its products or the changes in wallet retention that would help us understand the product side of things a little bit better. Thanks.
Craig W. Safian - Gartner, Inc.: Sure, Joe. The way to think about GBS is first its construction was – it was about 25% supply chain and marketing from the Heritage Gartner side and about 75% of Heritage CEB Leadership Councils. As we talked about, we've started this journey now of really converting everything over to Gartner seat-based products for each of the major functions that we serve. We're very early innings in that game, particularly on the functions that came over from Heritage CEB. But, again, similar to the way we've run it historically in Heritage Gartner and GTS, the growth algorithm is a combination of increased selling capacity because the opportunity is there and then that increased capacity selling the products and services that we have for those particular functions into the function and then expanding within that function. And so, again, it's the same algorithm, as we've talked about and have managed for the last decade or so on the Heritage Gartner/GTS side.
Joseph Foresi - Cantor Fitzgerald Securities: Thank you.
Operator: Thank you. Our next question comes from Peter Appert with Piper Jaffray. Your line is open.
Peter P. Appert - Piper Jaffray & Co.: Thanks. Good morning. I'm wondering if you guys see potential for profitability impact from the shift in the GBS product mix. So, I'm specifically wondering if the higher level of support and service on these newer products perhaps implies a lower level of margin for those products.
Craig W. Safian - Gartner, Inc.: Hey. Good morning, Peter. Good question. So, a couple of ways to think about it. One is we price for that, that's baked into the price. And two, we fully anticipate higher retention rates on those products as well. And the combination of the pricing, the scale we'll get and the higher retention rates, we believe that on a combined basis, we can run the overall Research segment at 70% gross margins, both incremental and absolute. With all of that incremental service baked in, again to support the higher retention rates, but again when we build our pricing, we're very cognizant of the elements of the products, service being one of those elements.
Peter P. Appert - Piper Jaffray & Co.: Got it. Understood. And then the flipside, I guess, to that, Craig, is that it's got all this upfront hiring of sales force in GBS this year. Presumably the sales force growth would slow some next year. I'm wondering if that then potentially helps the margin.
Eugene A. Hall - Gartner, Inc.: So, Peter, it's Gene. As we've talked about in the past in terms of sales force growth, we've increased the GBS sales force growth substantially. We're going to look at what happens to sales productivity. If as through the second half of the year our sales productivity goes up nicely and gets to kind of GTS levels of productivity, then we're going to continue to aggressively grow the GBS sales force. And again, if we believe we can grow it at the same kind of rates we grew it this year, we will do that. But it's all based on seeing the kind of productivity that we expect which again you need to think about it being on par with kind of GTS productivity. And so, we haven't decided yet how much we're going to grow in 2019, because we don't know what those productivities look like yet. And we're prepared to go either way.
Peter P. Appert - Piper Jaffray & Co.: Okay. Thank you.
Operator: Thank you. I'm showing no further questions in the queue. I'd now like to turn the call back over to Gene Hall for closing remarks.
Eugene A. Hall - Gartner, Inc.: Well, I continue to be excited about our business, our prospects for growth, and our strategy to drive long-term value for our shareholders. Our strong Q2 results demonstrate we know the right things to do to drive success in our business by applying the Gartner formula. We have the capability to address critical client needs in technology and in business across every function in the enterprise. And we remain in an outstanding position to provide sustained double-digit growth across all our key metrics. Thanks for joining us today, and I look forward to updating you next quarter.
Operator: Ladies and gentlemen, this concludes today's conference. Thanks for your participation. Have a wonderful day.